Executives: Lavanya Sareen - Alaska Air Group, Inc. Bradley D. Tilden - Alaska Air Group, Inc. Andrew R. Harrison - Alaska Air Group, Inc. Brandon S. Pedersen - Alaska Air Group, Inc. Mark G. Eliasen - Alaska Air Group, Inc. Shane R. Tackett - Alaska Airlines, Inc. Benito Minicucci - Alaska Air Group, Inc. Kyle B. Levine - Alaska Air Group, Inc. Peter D. Hunt - Virgin America, Inc. Christopher M. Berry - Alaska Air Group, Inc.
Analysts: Savanthi N. Syth - Raymond James & Associates, Inc. Joseph DeNardi - Stifel, Nicolaus & Co., Inc. Rajeev Lalwani - Morgan Stanley & Co. LLC Helane Becker - Cowen and Company, LLC Hunter K. Keay - Wolfe Research LLC Nish Mani - JPMorgan Securities LLC Eric Morgan - Barclays Capital, Inc. Michael J. Linenberg - Deutsche Bank Securities, Inc. Darryl Genovesi - UBS Securities LLC Andrew George Didora - Bank of America Merrill Lynch Kevin Crissey - Citigroup Global Markets, Inc. Dan J. McKenzie - The Buckingham Research Group, Inc. Dominic Gates - The Seattle Times Co.
Operator: Good morning. My name is Jessie, and I will be your conference operator today. At this time, I would like to welcome everyone to the Alaska Air Group Full Year and Fourth Quarter Earnings Release Conference Call. Today's call is being recorded and will be accessible for future playback at www.alaskaair.com. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there'll be a question-and-answer session for analysts and journalists. Thank you. I would now like to turn the call over to Alaska Air Group's Managing Director of Investor Relations, Lavanya Sareen.
Lavanya Sareen - Alaska Air Group, Inc.: Thanks, Jessie, and good morning, everyone and thank you for joining us for Alaska Air Group's fourth quarter and full year 2016 earnings call. On the call today, our CEO, Brad Tilden, will provide an overview of the business; our Chief Commercial Officer, Andrew Harrison, will share more about our commercial plans followed by Brandon Pedersen, our CFO, who will discuss our financial results and outlook for 2017. Several members of our senior management team are also on hand to help answer your questions. As a reminder, our comments today will include forward-looking statements regarding our future expectations which may differ significantly from actual results. Information on risk factors that could affect our business can be found in our SEC filings. We'll refer to certain non-GAAP financial measures such as adjusted earnings and unit costs excluding fuel. We have provided a reconciliation between the most directly comparable GAAP and non-GAAP measures in our earnings release. All right. Here's more disclosures. The acquisition of Virgin America impacts the comparability of our results. So to assist investors with comparisons, our investor update includes certain unaudited supplementary data labeled Combined Comparative Statistics. That should help investors understand how our combined business would have performed had we acquired Virgin America at the beginning of 2016. Investors should be aware that these are not official pro forma results as required by the SEC but simply an addition of historical Alaska plus Virgin America data. Virgin America's historical financial information has been conformed to Alaska's financial statement classification where appropriate. Moving on to results. This morning Alaska Air Group reported a fourth quarter GAAP net profit of $114 million, excluding $83 million in merger-related net costs and a $4 million impact of mark-to-market adjustments related to our fuel hedge portfolio. Air Group reported an adjusted net income of $193 million and earnings per share grew by 7% to $1.56 per share. This result compares to First Call consensus of $1.40 per share and exceeds last year's adjusted net income of $186 million or $1.46 per diluted share. For the full year, Alaska Air Group reported a record adjusted net profit of $911 million, up 8%. Earnings per share grew by 12% to $7.32 per share, with the higher growth rate because of the number of shares repurchased during the year. Additional information about cost expectations, capacity plans, fuel hedging, capital expenditures, and other items can be found in our investor update included in our Form 8-K issued this morning and available on our website at alaskaair.com. And with that, over to Brad.
Bradley D. Tilden - Alaska Air Group, Inc.: Thanks, Lavanya, and good morning, everyone. Lavanya just shared the numbers, so let me step back and talk about the underlying business and where we're headed in 2017. First and foremost, this is the first quarter that we've spoken since we completed our $4 billion acquisition of Virgin America and we cannot be more optimistic about what lies ahead. Air Group is now the fifth-largest airline in the United States and we serve more than 42 million guests through our hubs in Seattle, Portland, San Francisco, Los Angeles, and Anchorage. We have 1,200 daily departures to 118 destinations, almost 300 aircrafts and about 19,000 employees. The footprint of the combined airline gives us an unmatched ability to serve West Coast travelers and it creates a powerful platform for long-term growth. But to be clear, we know that simply adding routes isn't how you win in this business. For us to be successful over time, our people, our guests and our owners have to be aligned and we have to be focused on running our business in a way that we're creating real value for all of our constituents. With this in mind, we're adopting Virgin America's purpose statement, which is creating an airline that people love. Although this phrasing is new to Air Group, we think this language fits and it captures our commitment to continually improving in all areas. As we look back on what this team has accomplished in 2016, one of the things that we're most proud of is how we balanced Air Group's commitment to our employees, our guests, our communities and our investors. Let me start with our employees. We have a fantastic group of employees that care deeply about our guests and about the success of this company. We're spending a lot of time with our employees, integrating the Alaska and Virgin America cultures, and we are in fact about halfway through a program called Momentum, where we're inviting all Virgin America teammates in groups of about 120 to sessions where they can learn about the new Air Group, our vision and our shared goals. These sessions are being very well-received and I want to thank Ben and the team at Alaska and Virgin for putting together such a great series of workshops. Those of you who have been following us know that we've been proud of the fact that all Air Group employees participate in the same goals-based gain-sharing plan, which we call PBP. For 2016, our employees once again earned about a full month's pay, and I want to congratulate them all. And looking to 2017, Virgin America teammates will be rolled into PBP as well. Moving to our guests, the merger of two safe, reliable and service focused airlines is fundamentally good for guests who benefit from getting a premium product at low fares and an even bigger network. Safety is always our top priority, and Alaska demonstrated this again recently by being the first airline in the United States to have its safety management system approved by the FAA. I want to thank our safety and ops professionals who worked long and hard to get through all of the gates necessary to make this happen. Operationally, we had an excellent year, despite some rough weather in December, which continued into the early part of 2017. For the full year, 87.3% of Alaska's flights arrived on time, earning our people the number one on-time performance ranking from FlightStats for the seventh year in a row. Alaska also earned the number one ranking in the Wall Street Journal Comprehensive Airline Survey for the fourth year in a row. And as you know, both airlines have a history of offering our guests award-winning services, and this has been validated by Alaska's nine consecutive J.D. Power awards, and by Virgin America's number one ratings from both Travel + Leisure and Condé Nast also for nine straight years. But we're not standing still. Among other changes, we recently rolled out premium class on Alaska. Andrew will talk more about this in just a moment. We've recently improved our food and beverage offerings, and we were recently the first, and so far only airline, to introduce free texting on-board for all our customers. And finally, on to our owners. Today, we announced a record annual profit of $911 million. This is our 13th consecutive annual profit on an adjusted basis. And perhaps more importantly, we have reduced our unit cost for seven straight years and for 14 of the last 15 years on the mainline side. One thing that the last 15 years has taught us is that customers want low fares, and to offer low fares, we have to have low costs. On the strength of our strong service, low costs, and low fares, we've grown revenues at an average rate of 8% since 2009. We're also running strong returns and we expect our pre-tax margin of 24% for the year to be among the top 15% of our S&P 500 Industrial peer set. Our multi-year track record of strong results and our investment-grade balance sheet allowed us to finance the acquisition of Virgin America without issuing any new equity. The acquisition was accretive out of the gate in 2016 and we fully expect it to be accretive in 2017. Also today, we announced that we've increased our dividend for the fourth time in three-and-a-half years. Brandon will provide more information on this. Andrew and Brandon will also share details about our 2016 results and trends that we're seeing in the business. But before I turn the call over to them, I want to share a few more thoughts on the integration with you. First, we're using the integration as a time to reset our sights on the future. A lot of work is underway behind the scenes and we look forward to sharing more with you at our Investor Day in late March. Second, our integration management office is fully activated, and now that we've been able to talk openly between the companies, we're finalizing the integration plan. We're on track to achieve a single operating certificate in about 12 months' time, and we expect to transition to a single passenger service system in the second half of 2018. Third, we're quickly taking advantage of the broader network and greater distribution capabilities of the larger enterprise to build loyalty. For example, Elevate and Mileage Plan members can already earn and redeem miles across Air Group regardless of whether they fly on Alaska or Virgin America. Andrew will share more details with you, but we believe that this has been one of the best and most generous rollouts for guests. And finally, we're nearing completion of our brand work and plan to have an announcement about the go-forward elements of the brand before our Investor Day. 2016 was a remarkable year for Air Group. Doing a good job with the integration while also running a strong operations takes a tremendous amount of work, and I want to take this opportunity to recognize and thank our people. We have incredible front-line folks, and they are driving this terrific operational performance in guest service. We also have an extraordinarily talented and committed leadership team that is being fully challenged by this integration effort and is clearly rising up to meet that challenge. I want to take a minute and thank all of these folks as we wrap up a simply fantastic year in 2016, and as we collectively turn our full attention to 2017. With that, I'll turn the call over to Andrew.
Andrew R. Harrison - Alaska Air Group, Inc.: Thanks, Brad, and good morning, everyone. For the fourth quarter, Air Group's total revenue, and that includes $100 million from Virgin America, was up $147 million or $0.11. Given Virgin America only represented two weeks of activity in the fourth quarter, I thought it would be most useful for this call to just generally talk about Alaska's results excluding Virgin America. We were very pleased with our fourth quarter unit revenue results. Alaska RASM was up 0.3%. Our first positive unit revenue since the second quarter of 2014, which exceeded industry unit revenue performance by 2.4 points. For all of 2016, Air Group's total revenue, excluding Virgin America, was approximately $5.8 billion and grew by $233 million, or 4.2%. This makes 2016 the seventh year of consecutive revenue growth for Air Group. That's twice the top line growth of S&P 500 companies and contrasts with a 1% revenue decline for the airline industry in 2016. Before we move into 2017, there's a few things related to our business, excluding Virgin America, from 2016 that I wanted to highlight. First, growth in 2016 was enabled by the addition of 10 more Embraer 175s to our fleet for a total of 15 E175s operating in 30 markets. These aircraft are allowing us to create new market revenue streams and also provide first and premium class products for our guests. The Embraer also provides incremental feed for our mainline business. We're excited to be adding 18 more of these aircrafts to the fleet this year. Second, our relentless commitment to operational excellence and service continues to fuel loyalty growth. As all U.S. carriers have now abandoned miles-based programs, ours (13:06) continues to prove out time and time again as more generous for the majority of members. As a result, Mileage Plan grew 11% in 2016 and members in our card portfolio grew 10.2%, both growing at a rate almost twice that of our passenger growth. Third, as Brad said, we're now selling premium class and both guest feedback and revenue has been fantastic. We expect this product to add approximately $50 million or even more to our revenues in 2017, and should continue to grow into an $85 million run rate by 2018. Overall, the core Alaska business performed very well. We continue to build on our proven track record of profitable growth. To put some numbers around this, in 2010 total revenues were less than $4 billion. Since that time, Alaska's (13:56) growth has added over $2 billion in revenues, 50% growth, while continuing to lead the industry in profitability. In fact, about a quarter of our earnings per share today has been enabled by new markets added since 2010. With the acquisition finally closed, we are ready to leverage Virgin America as a platform for continued growth and create greater value for our guests, employees, and owners. As we look at our capacity plan for 2017, that's including Virgin America in the base, we will grow about 6% in the first quarter. As you might recall from our last call, we stated that we intended to grow Air Group capacity by around 7% for 2017. That remains largely unchanged, but with the addition of Virgin America as well as new slots from constrained airports, consolidated growth for Air Group is expected to be about 8.5%. That's almost 2 percentage points less than the aggregate businesses, that is Alaska plus Virgin would have been for 2016. That said, we make growth decisions at the market level, taking into account economic conditions, and we feel confident about this growth being accretive to earnings and helping us continue to diversify our earnings stream. So moving to competitive capacity, when we last spoke to you, we expected other airline capacity in the first quarter of 2017 to be up 9%. As we look at published schedules today, we now expect it to be up only 5%. That's a 4-point reduction. But more importantly, with the addition of Virgin's network, which provides greater diversification, we expect the weighted competitive capacity in the first quarter of 2017 to only be up 4%. Overall, we're seeing solid demand in our markets, and although the Easter shift from March will negatively impact first quarter comps, we feel good about the underlying fundamentals in the traditional Alaska markets. To provide some color on the first quarter revenue, our preliminary January PRASM, that's excluding Virgin America, was down about 3%. However, excluding the impact of recent winter storms, this would have been closer to down 2.5%. Although it's only been eight weeks since close, the revenue and network teams have made great progress. In fact, from a network reporting and segment profitability perspective, we have already folded in Virgin America and are planning network synergy adjustments for the fall. Additionally, under Shane's leadership, along with Kevin Ger, Kevin was Virgin's VP of RM who's now joined us. By the end of the second quarter of this year, revenue analysts will have all of revenue management, including system interfaces, analysis, reporting, pricing all under a single set of tools. And from an integration and synergy perspective, this is huge. I also wanted to highlight two areas where we've made significant progress since the deal closed to ensure that out of the gate, we don't miss a beat on the revenues. Firstly, seven days after the close of the deal, we blanketed Virgin America's network with Alaska's code. We are seeing healthy bookings on AlaskaAir.com from Virgin America codeshare flights, including routes like San Francisco to New York City that were previously not in the consideration set for Alaska guests. At current rates, 15% of Virgin America operated revenue is now being booked through codeshare flights on AlaskaAir.com. And then secondly, we've already opened Mileage Plan to Elevate members and are providing generous conversion offers, including 10,000 bonus miles or $100 off their next flight on Alaska. And additionally, Elevate members can now earn and redeem on Alaska's network as well as globally through our international partners. We're especially pleased with the fact that one-third of Elevate elites have already enrolled in Mileage Plan. As a reminder, loyalty programs offer a very real and tangible benefit to Air Group with total cash flows from Mileage Plan and Elevate exceeding $900 million for the full year of 2016. As a side note, you have likely noticed we've adopted Virgin America's use of the term guest. We have an extraordinary marketing team that's focused on translating all of the consumer and brand research we've done into brand decisions that will build loyalty. And what we've found is that the term guest is much more in line with the unique hospitality and warmth we want people to feel when they fly with us. This underscores our cultural commitment to hospitality and creating long-term loyalty. In closing, we look forward to seeing you at our Investor Day in March. We'll have a lot to share, including our plans for the brand, fleet and related aircraft configuration, on-board product including connectivity, airport infrastructure, and much more. With that, I'll turn the call over to Brandon.
Brandon S. Pedersen - Alaska Air Group, Inc.: Thanks, Andrew, and good morning, everyone. Today, we reported fourth quarter adjusted net income of $193 million. Earnings per share rose by 7% to $1.56 a share. These results include Virgin America from December 14 through December 31, which added approximately $15 million to net profit in the fourth quarter and full year results. Our full year adjusted net profit was, as Lavanya said, $911 million and earnings per share rose 12% to $7.32. This marks the 13th consecutive year that we've reported an annual profit and the seventh year in a row that we've been profitable in every quarter, which shows the durability of the operating and financial model that we've created. We ended the year with after tax ROIC of 21.3%. Our acquisition of Virgin America adds about $3.5 billion to the invested capital base, bringing the total invested capital about $7.5 billion. As a result, the trailing 12 month ROIC, which uses the average invested capital base over the rolling 12 month period, will gradually fall throughout 2017 until we annualize the acquisition day. To illustrate, if you simply took Alaska and Virgin America's full year earnings for both companies, for 2016, and calculated ROIC using the $7.5 billion invested capital base, ROIC would be about 15%. We remain committed to producing returns that are well above our cost to capital. Our pre-tax profit for the quarter was $308 million, a $16 million improvement over prior year. Virgin America added $24 million of pre-tax profit, offset by an $8 million reduction in pre-tax for the pre-acquisition Air Group business. I might spend a minute wrapping up the final results for the pre-acquisition Air Group, excluding the impact of two weeks of Virgin. As Andrew said, we were pleased with our fourth quarter unit revenue results. On the costs side, CASM, excluding fuel, is about flat for the quarter, which was a bit better than our last Air Group guidance in early December before we closed the deal. Our fourth quarter economic fuel costs per gallon was actually up year-over-year, the first time that's happened since the first quarter of 2013. Looking at pre-acquisition Air Group for the full year, I was really happy to see full year CASMex decline by about 1%, and I want to thank everyone for their focus on keeping costs low by being highly productive and maintaining a frugal mind-set. Our long track record of slowly chipping away costs is a major driver of our strong results over the last several years, and as a source of competitive advantage over higher cost legacy carriers that will allow us to keep growing. I thought I might also share Virgin America's fourth quarter and full year results. For the fourth quarter, Virgin America recorded us on a standalone basis, pre-tax profit of $61 million, a 14% improvement over the fourth quarter of prior year. For the full year, Virgin America's standalone basis pre-tax profit was $244 million, a 14.7% pre-tax margin. I want to congratulate the team there on the really nice year-over-year improvement. Peter Hunt is here with us and would be happy to add more color to those results. Many have asked about our reporting going forward, we'll give guidance on an Air Group basis, of course, with some more limited guidance for our Mainline segment which is going to include Alaska and Virgin America. The year-over-year comps will be muddy for the next four quarters. To help investors understand what's really happening, we'll give guidance that has both a comparison between new Air Group and pre-acquisition Air Group, which will match our SEC reporting, but we'll also provide some color on what the changes represent had the business been combined on January 1, 2016, as Andrew illustrated with the capacity guidance. So let's turn the page to 2017. We expect consolidated CASMex to be about flat for the year on what would be an 8.5% increase in new capacity in the marketplace. This is on a combined basis, as I said, assuming a full year of Virgin America in the base. On the positive side, we're already seeing good progress on our cost synergy goals, and there is also other purchasing accounting adjustments that will favorably impact the P&L in 2017 by about $50 million. Those favorable items will help offset the cost pressure we're facing including the impact of a likely new engine services agreement at Alaska and an increase in engine overhauls and heavy checks on Virgin's fleet. We'll also have the impact of the new contract with our Alaska technicians, assuming it ratifies, and higher pension expense. As Brad said, we're making great investments to our onboard product. And finally, there's some ASM and cost headwinds associated with premium class, which does have a significant margin benefit, as Andrew said. Overall, I like where our cost structure stands and the results for 2017 given all that we have going on and the changes that are happening at other carriers. Turning to the balance sheet. We ended the year with $1.6 billion in cash. Total cash flow from operations was $1.5 billion excluding merger-related costs. This marks our fourth consecutive year of operating cash flows of about $1 billion or more. CapEx for the year was just under $680 million, resulting in free cash flow of over $820 million ex integration costs. We have a busy year with the fleet in 2017. At Alaska, we'll take delivery of 12 Boeing 737-900ER aircraft which are absolutely fabulous airplanes. Those will backfill the remaining 10 737-400s that will all be retired by year-end. We're also in the process of modifying three Boeing 737-700s into freighters, which will replace the five 737-400 combis and one 400 freighter that we currently operate. Say that 10 times quickly. In the regional business, we're looking forward to taking 18 E175s from Embraer. At Virgin America, we'll take some number of the A321neos Virgin was planning on, but we're working with the lessor on an arrangement where we don't take all 10 that are scheduled to be delivered over the next two years. Virgin America will be the worldwide launch customer for those aircraft, which will be configured with 185 seats, and we're very anxious to see how they perform. We're also planning more CapEx in non-aircraft related projects. For example, we're making a major investment into our facilities up in the state of Alaska, including a new hanger and significant remodels of several owned terminals. All in we're currently projecting 2017 CapEx to be between $1.1 billion and $1.2 billion. During 2016, we returned $329 million to shareholders via $136 million in dividends and $193 million in share repurchases. I hope you saw today's announcement that we're again increasing the dividend by 9% to $0.30 per share per quarter. We've now increased the dividend four times since it was initiated, and it's increased threefold in that time. The increase signals our board's confidence in our plan and our ability to continue to generate strong results. We ended the year with $2.6 billion of long-term debt, with most of that being acquisition debt. Including the impact of leases, our year-end adjusted debt-to-cap stands at 59%. We're well positioned if interest rates rise as half our total debt is fixed. We remain committed to the idea of being not just a great airline, but a high quality business with a conservative balance sheet. In that vein, we're going to continue to re-deleverage until we hit our target of about 40% debt to cap. So I would expect cash distributions to shareholders to be limited to the dividend and perhaps some modest opportunistic share buybacks. Overall, I'm extremely pleased with where we are today. We closed the biggest acquisition in this company's history without using any equity, and did this while maintaining a strong investment grade balance sheet. This is a testament to the financial discipline that's part of the DNA of this company, and it provides us with a strong foundation as we head into the future. And with that, let's open it up to questions.
Operator: Your first question comes from Savi Syth with Raymond James. Your line is open.
Savanthi N. Syth - Raymond James & Associates, Inc.: Hey. Good morning.
Bradley D. Tilden - Alaska Air Group, Inc.: Good morning.
Brandon S. Pedersen - Alaska Air Group, Inc.: Hey, Savi.
Savanthi N. Syth - Raymond James & Associates, Inc.: Brandon, just maybe first off, I was pleasantly surprised by the dividend increase here and now that you know what the funding is and have a better idea of CapEx and putting the plan together, I was just wondering what are your thoughts on how the balance sheet should progress over the next two years? Or at least what your target might be? And also related to that, if there's any kind of change in your fuel hedge strategy?
Brandon S. Pedersen - Alaska Air Group, Inc.: I'll take the first, and then Mark can take the second on the fuel hedge strategy. In terms of the dividend, we've talked about this for several years now. We want to have a track record of increasing the dividend. That's something that high-quality industrials do, and we want to be considered that. As we looked, as you said, at our CapEx plan for the year, our cash flow plan for the year, the dividend made sense. And it's something that we're proud to announce, and as I said in my remarks, it shows confidence on the part of the board in our plan going forward. Mark, you want to take the fuel hedging?
Mark G. Eliasen - Alaska Air Group, Inc.: Sure. Good morning, Savi. With respect to our fuel hedging, we're going to continue on with what we've been doing. It's worked really well as fuel has gone up or down. So we don't see any reason to change. As you know, we're hedged at, 50% hedged at $62 a barrel. And so our break even is around $64, and we think it's a good place to be.
Savanthi N. Syth - Raymond James & Associates, Inc.: Helpful. And if I may, just on – and maybe for Andrew. Could you talk a little bit about kind of the demand and yield trends that you're seeing, and if there are kind of variances in kind of the based on the type of market? And I wonder if you saw any kind of holiday timing drag in December and a benefit in January, and then maybe have you quantified what Easter might be?
Andrew R. Harrison - Alaska Air Group, Inc.: Thanks, Savi. I'll have Shane answer some of those more detailed questions on the timing. I think what I would say at the big-picture level is we were very pleased with the fourth quarter. We continue to see strong demand in our markets. The team is heavily focused on the new Virgin America network. And again, with Kevin, who is the RM leader coming over, we are very well positioned to continue good momentum there in the fourth quarter and going into the first quarter. But, Shane, do you want to touch on the holiday movements?
Shane R. Tackett - Alaska Airlines, Inc.: Sure. I can do that. And just to give perspective on what Andrew said, I think throughout the quarter, demand was super strong. Load factors were up a couple of points. Business sort of demand within the month sequentially got better both on load factor and yield October through December, and we've seen that continue into 2017. So that's all good news. On the shifts, there was a 1-point shift for the month out of December into January just for holiday return. I think others have mentioned there was some day-of-week shifting around more Tuesdays in January this year than last year, and that's impacting January results a little bit. Easter is like we're thinking about 2 points on the month moving out of March into April. But we're sort of hopeful that we have space to backfill a lot of that with business traffic in March. So we're not necessarily thinking March is going to be down that amount, but that's – we know the actual holiday shift is worth about 2 points.
Operator: Your next question comes from Joseph DeNardi from Stifel. Your line is open.
Joseph DeNardi - Stifel, Nicolaus & Co., Inc.: Yes. Thanks very much. Brandon, I think you mentioned on the loyalty program side that on a combined basis it would contribute about $900 million in cash in 2016. I think that's a newish disclosure for you guys. So can you just provide maybe on a revenue basis what the combined program would look like and speak to any profitability metrics you'd like to disclose?
Brandon S. Pedersen - Alaska Air Group, Inc.: $900 million-ish is – I don't remember if it's new, but if it is, great. I'm glad we were able to provide – I mean, it really does demonstrate the power of the networks. I don't have the revenue breakdown at my fingertips, but that will be in the 10-K. We disclosed what's in passenger revenue and in other revenue. In terms of the profitability of the program, that's probably a longer conversation that's not going to happen on an earnings call, but we can discuss that offline. What I will say is that just, it does wonders in terms of building customer loyalty and stickiness to Alaska/Virgin America, and that's, for us, where the power is. In terms of the profitability of each element, that's a little harder to get into.
Joseph DeNardi - Stifel, Nicolaus & Co., Inc.: Okay. I mean, Brad, that's a lot of cash relative to what you guys generate, and I would estimate it's quite a bit of your earnings also. So is there any concern that the way that you guys are disclosing the program now ends up with the airline kind of relying on this program too much and not finding new ways to make the core business flying, one person, one city to the next, more profitable?
Bradley D. Tilden - Alaska Air Group, Inc.: Yes. I – Joe, thanks for the question. I don't think there's any concern at all. I mean, our entire – and people that sort of live out in our coverage areas do feel this, but our entire focus is going into the community and doing the right thing, being a good company and building loyalty. And when we build loyalty, we want people to get into our Mileage Plan and then we want them to get at least one of our credit cards in their wallet, ideally two, maybe three of our credit cards in their wallet. So that's what we do. And then what we want to do on the other side is give them huge value for having that card, so they get a free bag, they get miles, they get a companion certificate, which gives them if they buy one ticket, they get a very inexpensive second ticket. And then as we've sort of been talking more about, there's all sorts of benefits through the awards as well. I think if you look at our 10-K, and this may be wrong, but I think it's close to right, I think something like 19% of our travel on this company is somehow affiliated with the Mileage Plan, and I think that percentage is much higher than other airlines. I think other airlines are closer to 10% or 12%. It might be a full redemption, or it might be a fare when they pay it half with cash and half with miles. So I think this is our core business, and I think it's a really important part of our core business. We've got a fabulous relationship with Bank of America, and I think it's something that you're going to see us – if you sort of look back, we've talked about 10% growth in the Mileage Plan for 15 years – double-digit growth, sorry. We've talked about double-digit growth in the Mileage Plan for 15 years. I think it's something that you're going to see us continue to focus on.
Brandon S. Pedersen - Alaska Air Group, Inc.: Joe, we're going to send you an application.
Operator: Your next question comes from Rajeev Lalwani from Morgan Stanley. Your line is open.
Rajeev Lalwani - Morgan Stanley & Co. LLC: Hi. Thanks for the time. Just on the capacity guide of 8.5% or so, can you just talk a bit more about where that growth will be focused? And then any implications to just being able to maintain that sort of steady margin state RASM that you guys have been putting up despite the higher level of growth?
Andrew R. Harrison - Alaska Air Group, Inc.: Rajeev, good morning. It's Andrew. So a couple of things on that. Firstly, I will tell you from an internal perspective, the 8.5% growth is at the top of our range. So I want to put that out there. Secondly, a lot of the growth will be Mid-Continent and Trans-Con, which has been what you've seen recently. The other thing is that we've had a really exciting opportunity with slots. And I think with Newark, Alaska picked up four, Virgin picked up two more. We're hoping to get four slots into Mexico City here shortly, and we're also working on some other opportunities in constrained airports. So overall, I think that our growth is very balanced as it relates to the core and new markets, and really exciting opportunities. And as Brad has mentioned, this growth is going to fuel utility and loyalty for the combined airlines now, and we believe that this growth that we're going to produce this year is going to continue to basically ignite this acquisition and bring good things to guests. And then also...
Rajeev Lalwani - Morgan Stanley & Co. LLC: Thanks, Andrew.
Andrew R. Harrison - Alaska Air Group, Inc.: – I should mention the regional – sorry, Rajeev. The regional side is growing about 18%. And as you're aware, the Embraer 175, this is really a new tool for us. It hits Mid-Continent routes. It's going to provide very valuable feed. And it also generates first-class and premium-class revenues not available in our current regional fleet. So when you package this all together, we feel very good about that.
Rajeev Lalwani - Morgan Stanley & Co. LLC: Great. And then just on the integration side, what are some of the big risks we should be focused on this year? And then maybe just some color on the timeline for cost synergies and some of the puts and takes there?
Benito Minicucci - Alaska Air Group, Inc.: Good morning, Rajeev. It's Ben here. What I will say is we are well underway, as Brad had in his comments, with the integration management office. We've established 20 integration goals, things like getting a single guest loyalty program, integrated call centers, a single passenger service systems. The work streams, over 100 work streams are established, and on the synergies side, we have established 30 synergy categories, 7 revenue, 23 that are cost-related. We've got executive owners in conjunction with FP&A and their supply-chain people, and we are driving hard to achieve those synergies. So we're really confident that we're going to achieve and exceed what we've established. And then on some of the risks, we are just working on, when we look at other mergers in the past, we realize labor deals are a big deal. So that is an extremely high priority for us to get labor deals hopefully by the end of 2017, early into 2018. Brad talked about culture. We are working on hard bringing these two cultures together to honor what has been so great at Alaska Airlines, but looking at Virgin and see what Virgin can bring to really help the new Alaska to greater heights. So I'm really confident about what we're doing now and where we're going.
Operator: Your next question comes from Helane Becker with Cowen and Company. Your line is open.
Helane Becker - Cowen and Company, LLC: Thanks, operator. Hi, guys. Thanks for the time here.
Bradley D. Tilden - Alaska Air Group, Inc.: Good morning, Helane.
Benito Minicucci - Alaska Air Group, Inc.: Good morning, Helane.
Helane Becker - Cowen and Company, LLC: So I have two questions and they are completely unrelated. The first question is, Brandon I know you'll be able to earn your way back to your 40% goal for debt-to-cap. But given where the stock price is, have you given any thought also to maybe issuing some equity to bring the debt-to-cap level down, even if it's not from 60% to 40% to like maybe 50%, and then just reinstating the share repurchase program?
Brandon S. Pedersen - Alaska Air Group, Inc.: Helane, Brandon. Good morning. No, we have not thought about that at all. We wanted to do this acquisition in a way that wasn't dilutive, and we did it, and I think we still have a very strong balance sheet. So I don't feel the need to do that, at all.
Helane Becker - Cowen and Company, LLC: Okay. And then my other question is about the Airbus aircraft, and I know – I heard what you said about trying out the neos and seeing how they work, and working with the lessors to maybe adjust deliveries. But after you're done with integration and you start to think about the route network, are there some markets where the A320neos will work better than the Boeing 737s that you would actually think about permanently keeping them? Or working to buy those aircraft rather than lease those aircraft? Because I mean, given your very strong balance sheet, I'd say it would be cheaper for you to buy them rather than to lease them.
Brandon S. Pedersen - Alaska Air Group, Inc.: Yes, I think there's two questions in there. One is a buy versus lease question, and we've been a big advocate of buying for a lot of different reasons. In terms of where the airplanes fit best operationally, might get Ben to chime in on that because we're learning some things about that already.
Benito Minicucci - Alaska Air Group, Inc.: Sure. Hi, Helane. It's Ben, and Andrew and I are partnering on this with his team. The Airbus is a great airplane. As you know, we love Boeings, we're all Boeing and we're proud of that, and we're learning a lot about the Airbus. What I will tell you is where you put the Airbus. It's one of the things we've done well, is we've put the right airplane in the right market. The Airbus is limited to A320 at least, as limited as that Trans-Con airplane we think is a better North to South airplane. So at least in the next five years, I think you'll see Andrew's team work with the ops team really to get these airplanes in the right markets to really maximize their potential. So where the A321s go, whether they go Hawaii or Trans-Con, I think we'll make the right decision for to maximize their potential.
Helane Becker - Cowen and Company, LLC: Okay. Okay. Well, those were my two unrelated questions. Thank you.
Operator: Your next question comes from Hunter Keay with Wolfe Research. Your line is open.
Hunter K. Keay - Wolfe Research LLC: Hi, guys. Good morning.
Bradley D. Tilden - Alaska Air Group, Inc.: Good morning, Hunter.
Hunter K. Keay - Wolfe Research LLC: Hey. So one of the more unfortunate conditions of the DoJ approval was that they're going to make you guys ask for permission to divest Virgin's gates at Love Field if you decide to go down that path. So I know it's a little bit early to start talking about whether you're going to do that or not but can you – and this might be a question for Kyle, by the way, if he's on the line – but can you tell me about how pragmatically easy that would be to do given the conditions attached to the approval, what steps you have to go through, and just sort of the legal hurdles that you would have to clear to get that done, if you decide to do it?
Kyle B. Levine - Alaska Air Group, Inc.: Yes, Hunter. Good morning. The order, as you've probably seen, doesn't specify what steps are necessary. So in my mind, if we ever decided to do that, it would start by a letter saying, hey, we'd like an audience with you to explain our business reasons for wanting to do this. And the discussion would go from there.
Hunter K. Keay - Wolfe Research LLC: To DoT.
Kyle B. Levine - Alaska Air Group, Inc.: To DoJ.
Hunter K. Keay - Wolfe Research LLC: DoJ. Okay. Got it. Thank you. And then, Brad, when will all your distribution agreements with the various GDSs be harmonized? And what's going to be your single biggest priority in the negotiations with them? Like obtaining a partial content agreement? Or is it just like lowering the booking fees? And then if you want to just talk bigger picture about how big of an opportunity distribution savings is for the merged company over the next many years, that'd be great too. Thank you.
Bradley D. Tilden - Alaska Air Group, Inc.: Thanks, Hunter. I'm going to ask either Andrew or Shane to answer this. And just to be really clear, Hunter's asking about distribution systems and opportunities between Alaska and Virgin to harmonize and find cost synergies or even revenue opportunities.
Shane R. Tackett - Alaska Airlines, Inc.: Yes. Thanks, Hunter. I won't get into details. Mostly the agreements are actually open for us right now but our costs of distribution are really good comparatively, and so I think this is one of the key areas of cost synergy that has been identified that Ben just alluded to of those 30 areas. So we're working with the distribution providers right now on new contract language. We've got great relationships with them, and I think that this won't be hard for us to achieve pretty quickly.
Operator: Your next question comes from Jamie Baker with JPMorgan. Your line is open.
Nish Mani - JPMorgan Securities LLC: Thank you so much for the time. This is actually Nish Mani on for Jamie. I wanted to ask you about customer retention and how that plays into the revenue synergies target that we should be thinking about going forward. I mean you guys have outlined that $175 million run rate number and I know when we had last spoke on the topic, the base case essentially included about 100% customer retention in the acquisition. And I'm wondering, if a, your view on this has changed since the merger has closed, you had the ability to kind of look at the numbers closely and do more channel checks, but b, how we should be thinking about that going forward, and how that could potentially impact the accretiveness of the deal?
Andrew R. Harrison - Alaska Air Group, Inc.: Hi Nish, this is Andrew Harrison. Thanks for your question. So a couple of things on that. Firstly, we're going to provide a lot more detail at Investor Day but what I will tell you right now is that very much on the revenue synergies of $175 million, nothing has changed there. And as Brad has been sharing, our whole goal here is to really provide significant revenue growth in California, and particularly of course on the West Coast. We are very hard at work, working with elites both Elevate and Mileage Plan, signing up new members and we're getting into it, and we're going to have some exciting changes coming over the next six months. So we feel very confident that we are going to continue to grow our guest base in a major way as we move through this integration.
Nish Mani - JPMorgan Securities LLC: Okay. That's very helpful. And then I wanted to just ask, kind of briefly, about the evolving nature of the Virgin brand and how you guys are thinking about it. I mean obviously there are a bunch of operational decisions to be made down the road but, is it your sense from where you sit today that the Virgin brand would represent any kind of distinct departure away from what Alaska's product offerings are? Or has that decision kind of still been mulled over so to speak?
Andrew R. Harrison - Alaska Air Group, Inc.: Nish, Andrew again. I've only ever had one rule, that as sort of a collar around my neck, was that I wasn't taught to talk about unit revenues going forward. A recent new collar with an electric charge is being placed around my neck and that would include Brad. So what I will tell you is that we will talk to you more about that at Investor Day, but at the end of the day what we can tell you is that as we move forward, we're going to continue to evolve and become increasingly relevant and fresh and new, inspiring for the guests on the West Coast. And I will say, and it sounds like a small thing but it's not; at the end of the day this concept of calling guests, which Virgin America had adopted, it's very powerful. And the more you get into it, and culturally as we rethink how we talk about who we're serving, it's going to make a difference. And so, we're going to start to unroll a lot of this stuff, again, Investor Day, so I look forward to seeing you there.
Operator: Your next question comes from Brandon Oglenski with Barclays. Your line is open.
Eric Morgan - Barclays Capital, Inc.: Hi. This is Eric Morgan on for Brandon. Thanks for taking my question. I just wanted to ask about margins. Given that Virgin has had lower margins historically, just wondering how you're thinking about the whole business now? And longer term, is there any reason consolidated margin shouldn't ultimately reach where you were running pre-merger?
Brandon S. Pedersen - Alaska Air Group, Inc.: Eric, it's Brandon. You are right. Virgin America did run at a much lower margin than Alaska and mathematically, when you add the two together, you get a lower margin or a margin in between. In terms of where the business operates going forward, I think that's largely a matter of the economic environment, fuel conditions, competitive capacity, et cetera. I think Alaska's goal is to just be in a place where we're doing better than the industry on average. And I don't exactly know what that's going to be, but that's the goal.
Eric Morgan - Barclays Capital, Inc.: All right. Appreciate that. And maybe just one on the premium class product. Could you elaborate a bit on the rollout and how it's playing out relative to expectations? I mean, it sounded like you were pretty happy with the revenue impact. So do you think that $85 million number you have out there could be conservative?
Shane R. Tackett - Alaska Airlines, Inc.: Thanks, Eric. This is Shane again. Yes, it's a great start. We had all of our B737-800s, about 60 aircraft, configured to begin flying in January. We started selling those seats in November. So it was kind of a limited release. Our Boeing 737-900s are now starting the process of being configured. I'll just tell you, the revenue out of the gate is more than what we had planned for in January, and it looks to be the same in February. I do think as we get into that part of the year and we have sort of the full complement of the fleet configured, our revenue goals are very, very aggressive, so I wouldn't necessarily say that we're going to outperform the $85 million at this point. But if anything, there might be a little upside to it.
Operator: Your next question comes from Mike Linenberg from Deutsche Bank. Your line is open.
Michael J. Linenberg - Deutsche Bank Securities, Inc.: Oh, yes. Hey. Good morning, everybody. I guess a couple here. Andrew, you were kind to give us competitive capacity. In the March quarter, you said it was 5% and then I think on a weighted basis including Virgin, it was 4%. Do you have that for the June or September, and/or September quarters?
Andrew R. Harrison - Alaska Air Group, Inc.: What I can tell you right now, just in the second quarter looking at the tapes which aren't finalized, it's close to flat.
Michael J. Linenberg - Deutsche Bank Securities, Inc.: Okay.
Andrew R. Harrison - Alaska Air Group, Inc.: But again, that can continue to move around.
Michael J. Linenberg - Deutsche Bank Securities, Inc.: Okay. Very good. And then as I recall, and this is probably a question for Brandon, Virgin paid a royalty fee to the Virgin Group. I think it was, at one point, 1% of total sales, and then I think it moved up to like 1.4% and then it came down. Is that something that you're still incurring? Or is that – that's gone since the merger closed? I was never sure on that.
Peter D. Hunt - Virgin America, Inc.: Hi, Mike. This is Peter Hunt. Actually, the level is 0.7% of revenue...
Michael J. Linenberg - Deutsche Bank Securities, Inc.: Okay.
Peter D. Hunt - Virgin America, Inc.: ...that we're paying for license fee. And that is still in place. So as long as we use the Virgin brand, under our existing license agreement we would be required to pay that license fee.
Michael J. Linenberg - Deutsche Bank Securities, Inc.: Okay. And, Peter, does it stay at 0.7%? Or is there some sort of revenue threshold or benchmark that changes that?
Peter D. Hunt - Virgin America, Inc.: There is a revenue threshold. It's a fairly high one, though. It won't come into play for many years, and at that threshold the revenue or the (49:47) drop to 0.5% at some point in the future. But it's like three times what the Virgin revenue is today, so it's fairly high.
Operator: Your next question comes from Darryl Genovesi with UBS. Your line is open.
Darryl Genovesi - UBS Securities LLC: Hi, guys. Thanks for the time. Brandon, I joined a little late, so apologies if you already did this. But would you break out the CASM outlook for 2017 between kind of what's happening with core CASM and then what the purchase accounting impact is?
Brandon S. Pedersen - Alaska Air Group, Inc.: Yes, on a combined consolidated basis, so again assuming Virgin America had been in the base for the full year, CASM is going to be flat year-over-year. We have about $50 million or so of net good guy (50:37) in the base that resulted from purchase accounting, and there's a variety of things in there, some positive, some negative. And then the rest of it would be what I would call core growth including the impact of premium class, which takes out ASMs and adds some cost. But as I said in my prepared remarks, it's very accretive to the bottom line as well as the investments we're making in the onboard products. So some – I wouldn't call that inflationary growth. I would call that purposeful investment that we believe has a real payback and is good for guests.
Darryl Genovesi - UBS Securities LLC: Great. And then on the revenue side, did you need to write down the DTL as part of the purchase accounting process? And is that going to impact Q1 RASM?
Brandon S. Pedersen - Alaska Air Group, Inc.: The deferred tax liability?
Darryl Genovesi - UBS Securities LLC: I'm sorry. The ATL, the air traffic liability?
Brandon S. Pedersen - Alaska Air Group, Inc.: We actually carried over the ATL – well, I'm going to let Chris Berry answer this. It's an accounting question.
Christopher M. Berry - Alaska Air Group, Inc.: It is an accounting question. Darryl, I'll be brief. Yes, ATL, it was fair valued, meaning there was some write-down within the ATL number. And that would carry through revenue over the next 12 months. The offset of that is there is a write-up in the value of the Elevate program, which has basically an equal offset to that revenue over the next 12 months. So you won't see a lot of revenue change as a whole for operating revenue for Virgin America on that.
Operator: Your next question comes from Andrew Didora from Bank of America Merrill Lynch. Your line is open.
Andrew George Didora - Bank of America Merrill Lynch: Hey. Good morning, everyone. Brandon, I guess I have two questions on the cost side. One, I know you've been talking about the $50 million good guy from purchase accounting, but can you give us a sense for what's included in that flat CASM guide for cost synergies? And then second question around cost, we're seeing a lot more fuel efficiency, particularly on the regional side, and does this all relate to the additional E175 flying?
Brandon S. Pedersen - Alaska Air Group, Inc.: Hi, Andrew. On the second question, I didn't quite follow it. Are you talking about non-fuel CASM or fuel CASM?
Andrew George Didora - Bank of America Merrill Lynch: No. I guess the second question on the fuel CASM. We do – it seems like your fuel efficiency is increasing nicely here. And is that solely a function of the new E175 flying that you have coming on this year?
Brandon S. Pedersen - Alaska Air Group, Inc.: Yes. No. For that flying – I mean, those are great airplanes. But for that flying, that actually is a reduction in terms of ASMs per gallon, just because the smaller gauge of those aircraft. Where you're really seeing the benefit is the exit of the 737-400s and replacement of the 900ERs, 37 more seats. Basically, they burn the same amount of fuel. It's a nice, nice, nice tailwind in terms of fuel efficiency. On the cost side – I forgot your question. What was your question?
Andrew George Didora - Bank of America Merrill Lynch: On the CASMex side, what are you assuming in terms of cost synergies in your flat guidance?
Brandon S. Pedersen - Alaska Air Group, Inc.: Yes. I mean, we're – I'm not going to tell you exactly the number, but I will tell you that we're really pleased with the pace that we're going on realizing those cost synergies. There is the obvious stuff baked in: head count reductions, including the executive compensation that was in the base last year. But it's not just that; it's synergies that we've already realized in lots of different areas, and we'll give you more color on that at Investor Day. We're well on our way.
Operator: Your next question comes from Kevin Crissey with Citigroup. Your line is open.
Kevin Crissey - Citigroup Global Markets, Inc.: Hi. Good morning, everyone. Thanks for the time. Hey, Brandon, how do you measure the synergy results? Not right away because that's relatively doable. But how do you look at the revenue and the cost as what they would've been had you not merged, say, a year-and-a-half from now?
Brandon S. Pedersen - Alaska Air Group, Inc.: I'm going to let Shane Tackett answer that question.
Shane R. Tackett - Alaska Airlines, Inc.: It's a great question, and there's not a perfect way to do this, but the way we've done it is we've basically pro forma-ed both companies independently for five years, and then we've pro forma-ed the combined company and what we think we can create in synergies, and we'll just re-baseline those based on some sort of revenue environment index as we go forward.
Kevin Crissey - Citigroup Global Markets, Inc.: Okay. And so if, with us not having the benefit of your projections, assuming you're not going to release those, and I imagine you wouldn't, should we be viewing the resulting synergy in better RASM growth versus, say, the industry in terms of to measure the revenue synergies and better margins overall to maybe for the net of the revenue and cost synergies relative to where you were or where the industry was. Frankly, a year-and-a-half from now when you guys are saying that you're going to be realizing your synergies and you're right on track, how the heck are we going to have any idea that that's the case?
Bradley D. Tilden - Alaska Air Group, Inc.: Kevin, maybe I'll jump in there. Honestly I don't think you will, because a lot of things happen between now and then and I think for some of that, like network connectivity, it does get lost in the mix a little bit although we do feel pretty good about the opportunity there. A good example of that is just the statistic that we mentioned in the script, which is about 15% of the Virgin America bookings right now are coming through AS.com, (56:00) and we believe 30% of that is incremental. That's real dollars that are adding to the bottom line. The other thing I would say is that some of the synergy benefit is of course network connectivity and things like that which will be a little harder to measure. But some of the synergy benefit comes from things like increasing the number of people that hold the credit card, that is a very tangible and quantifiable number that we can tell you – we're not going to give you specific numbers, but we're going to say are we on track or not? And we can tell you with confidence.
Operator: Your next question comes from Dan McKenzie from Buckingham Research. Your line is open.
Dan J. McKenzie - The Buckingham Research Group, Inc.: Oh, hey. Good morning. Thanks. Andrew, feel free to sort of re-characterize this but at least from my perspective, what we've learned from Virgin is that growth in the wrong market can cause a lot of revenue pain. And you've made it clear this year that the growth this year is going to be accretive but on the existing network how would you characterize the changes that need to be made on the Virgin side? Are there some re-deployments you're thinking about? And then just tied to this, what is Trans-Con capacity now as a percent of total flying?
Andrew R. Harrison - Alaska Air Group, Inc.: Thanks, Dan. I was expecting an another alliance question, so this is good. All is well there by the way. Here's what I will say, Virgin America's network I think is about 20 markets and they're all in these very large core O&Ds, and I think they've done a fantastic job. So other than looking at gage (57:34) and putting the right airplanes in the right markets, we believe it's a fantastic foundation, and we're going to continue that. We're also going to start making some changes in the fall to start to get schedules and equipment better, but really you'll see much more in 2018. We've redefined our regions and without going into the details, our Trans-Con, I think we have like New York Trans-Con is about 10% from memory here, I'm just looking at my cheat sheet, 10%. And then you've got – we also have Pacific Northwest Trans-Con – excuse me – California Trans-Con as well. So those two together is close to 20%. At the end of the day what we hope to do is to take the Virgin America network and then bring to there the loyalty, the network connectivity, the regional fleet, the Mainline fleet and just grow this thing. That's really what you're going to see. So the bare bones of what you see in the network that Virgin America has there is solid and they are not going to be changing materially.
Bradley D. Tilden - Alaska Air Group, Inc.: Dan, to be fair, there are a handful of markets that we look at and say we can make some changes to drive better results, and I don't think we're going to say a lot more about that today but I think you will see some changes in the schedule in the next couple of months.
Dan J. McKenzie - The Buckingham Research Group, Inc.: Okay. I appreciate that. And, Andrew, you actually did front run my next question on alliance (58:53) So I'm wondering if you can provide an update on codeshare revenue. Where are we at just given some of the changes that had to be made as a condition of the merger close? And then to what extent does the new codeshare with Japan Airlines backfill some of that lost revenue.
Andrew R. Harrison - Alaska Air Group, Inc.: I think, real quickly, Dan, not materially since we last changed. We shared that the Department of Justice was about $60 million reduction but we're going to backfill three quarters of that, so it's about $10 million to $15 million of loss. And then I think we also talked about the Delta. So at the end of the day, we are continuing to rely less and less on codeshare revenues and especially with the Virgin America network, we're backfilling that and replacing that with our own revenues. And just on JAL and lastly on our international flag partners, we are seeing significant year-over-year, and of course JAL will be new international traffic. And now with international gateways in Seattle, San Francisco, Los Angeles and even JFK, we have a great platform for international traffic growth.
Operator: We have time for one more question. Up next is Dominic Gates from Seattle Times. Your line is open.
Dominic Gates - The Seattle Times Co.: Hi. Good morning. Just following up on Helane Becker's question about fleet plans. First of all, could you just repeat, if you would, the plans for taking new craft, 737s, A320s, E175s in the coming year versus retirements. And then you talked about not taking all of the A321s that were previously planned for Virgin. Give me your thoughts on why you're doing that. The A321 is the one Airbus aircraft that other airlines are rushing to get because it's perceived as doing better than the equivalent Boeing 737. So why does the fact that you're not taking all of those indicate where you may be going in terms of what to do with the Airbus way down the line?
Bradley D. Tilden - Alaska Air Group, Inc.: Dominic, good morning. Thank you for the question. So big picture, maybe just to sort of reset a little bit. We have been proudly all Boeing for I don't know how many years, 10, 15 years we have probably all Boeing on the front of everyone of our airplanes. We're really proud of that. Flying Boeing airplanes has been fantastic for this company. That flying a single aircraft type has been fantastic for this company. So that's fact one. Fact two is we bought Virgin America and they fly Airbus airplanes. So overnight we now are in the position where we fly both airplane types. So all that we have said is that we're going to go through a process in 2017 where we make a decision as to whether to continue to fly two airplane types, or whether to go back and fly a single airplane type again. And that process is going to take six, seven, eight, nine months, something like that. But we're going to – as any company would, we're going to go through the right process to make the right decision for everybody at Alaska and we're going to certainly talk with Boeing and Airbus as we go through that process. You're also asking about sort of what happens in the interim, and what I would say is that the process has become a – it's a little bit more complicated because Airbus is introducing this A321 like immediately, right away. And I'll just say that we're having conversations with people that delivered the lessor and Airbus about that airplane to see if we can sort of reduce that, that's a new airplane type to Virgin America. We're having a conversation to see if we can sort of reduce that commitment to A321s or put that off a bit while we go through this process to make the right long-term decision for Air Group. And that's really all that we can say about where we are right now.
Dominic Gates - The Seattle Times Co.: And do you mind going over the numbers? What's the expectation for new deliveries this year versus retirements?
Andrew R. Harrison - Alaska Air Group, Inc.: We'll have either Brandon or Mark, but happy to do that, Dominic.
Mark G. Eliasen - Alaska Air Group, Inc.: Okay. Hey, Dominic. This is Mark Eliasen. I can just give you a couple of numbers here. One is that we have 54 firm Boeing airplanes on order today. We'll take 12 this year, but we have 54 total on order, which includes the MAX airplane. For the Airbus fleet, we have 10 firms on the books today that Virgin America had, and we also have another 30 that are cancelable. So that basically breaks down the ratios there.
Operator: This concludes today's question-and-answer session. I will now turn the call over to Brad Tilden.
Bradley D. Tilden - Alaska Air Group, Inc.: Okay. Thanks very much, everybody, for joining us. We look forward to seeing you at our Investor Day in New York on March 29. Thanks very much. Have a great day.
Operator: Thank you for participating in today's conference call. This call will be available for future playback at www.alaskaair.com. You may now disconnect.